Operator: Thank you for standing by. This is the conference operator. Welcome to the Westwater Resources Inc Second Quarter 2023 Results and Business Update Conference Call. As a remainder, all participants are in a listen-only mode. And the conference is being recorded. After the speakers presentation there will be opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Frank Bakker, President and CEO. Please go ahead, sir.
Frank Bakker: Thank you, moderator. Thanks to those attending our second quarter 2023 business update and results call. With me today is Terence Cryan, our Executive Chairman of the Board; and Steve Cates, our Chief Financial Officer. During this presentation, the forward-looking statements we make are based on management's judgments, including, but not limited to, future graphite demand and price forecasts; schedule and cost projections; and economic expectations related to the Kellyton graphite plant, the Coosa graphite deposit and capital-raising activities, including the estimated timing of those activities. These and other similar statements are subject to certain risks and uncertainties, of which a description can be found on Slide 2 within this presentation and in our 10-K for 2022 and our other SEC filings. Please read our cautionary statement and realize that actual results may differ materially from what's discussed today. Westwater is an energy technology company focused on producing advanced natural graphite materials in the United States using our proprietary technology, including our patent-pending purification process. Slide 4. We remain focused on becoming the U.S. first based vertically integrated natural graphite anode supplier. Also we continue to believe that the location of our Kellyton Plant in East Central, Alabama, place our operations in the heart of the growing U.S. EV battery market. When completed, the Kellyton Graphite Processing Plant will provide anode material necessary to support the domestic energy transition. Recently, the EPA announced new emission targets, which is expected to increase critical material demand for electric vehicles by 78% over the next 9 years, according to Benchmark Mineral Intelligence. Many auto manufacturers have announced commitments to either increase the number of electric vehicles produced or completely rectify their lineup. Turning to Slide 5. As a result of government legislation in the U.S. and around the globe and increased plant production of electrical vehicles, global demand for lithium-ion batteries is expected to grow at a compounded annual rate in the double digits through 2035. Demand growth for lithium-ion batteries is also expected to drive increased demand for Westwater's primary product, Coated Spherical Purified Graphite or CSPG. The demand growth in North America for CSPG is expected to grow to approximately 200,000 tonnes per year by 2030 and to over 400,000 tonnes by 2035. Our Kellyton Plant that's under construction is in a prime location within 15 plant or existing Giga factories within a 1-day delivery of the plant. On Slide 6 illustrates the importance of graphite in a lithium high-end battery as it accounts for approximately 50% of the critical minerals by weight. A typical electrical vehicle has around 175 to 210 pounds of graphite. Currently, the U.S. is 100% dependent on foreign imports of battery graphite products. Slide 7. The growing demand for lithium-ion batteries, the government support for the energy transition and the need to secure supply of key materials has led the U.S. government to designate graphite as a critical mineral. As we have mentioned previously, when CSPG is produced in the U.S., it helps battery and EV manufacturers meet the domestic content requirements contained in the Inflation Reduction Act. IRA has been and continues to be an important catalyst to our engagement with potential customers because of the domestic content requirement. Since Westwater has secured its feedstock of graphite concentrate from Syrah Resources, a non-Chinese source, and we plan to perform 100% of the conversion process here domestically, we expect the CSPG produced at Kellyton will be IRA compliant. Moving to Slide 8. We continue to focus on our value proposition and believe Westwater is well positioned as a future domestic source of IRA-compliant CSPG, the first market-mover advantages to become the first vertically integrated natural graphite project based 100% in the U.S. In addition, we continue our ESG focus, including environmental stewardship, commitment to follow SASB standards and the purification process that doesn't plan to use hydrofluoric acid. Our business plan also includes the potential for significant future expansion of our graphite business, both at the Kellyton side and the Coosa deposit. Turning to Slide 9. We took a slightly different approach than other companies with mineral deposits by developing our graphite processing plant first and planning our Coosa deposit second. And we believe there are a number of strategic advantages to this approach. First, it gets us to revenue and positive cash flow sooner. The conversion of graphite flake concentrate into CSPG results in a value multiplier of approximately 9 times. Second, this approach, along with securing our supply of natural graphite flake from a non-Chinese source, will allow us to take near-term advantages of a growing market for battery materials. On to Slide 10. Earlier in the year, we announced a joint development agreement with SK On, a Tier 1 global battery manufacturer that currently operates 2 EV battery plants in Georgia and is building 3 additional EV battery plants in the U.S. on its BlueOval joint venture with Ford. Additionally, SK On has announced plans to build a $5 billion EV battery manufacturing facility in Georgia with Hyundai. Work with SK On under a JDA continues and involves collaboration, preparation and testing of additional samples and ongoing product development. The feedback we have received regarding the latest sample evaluated by SK On was extremely positive. While some companies get stuck in basic battery testing with small sample sizes, sometimes requiring as many as 10 sample iterations before they can progress to large-format cell testing, Westwater was able to move to large format cell testing with SK On after a few iterations. This is not only the result of the positive collaboration with the R&D team at SK On, but also the abilities of Westwater's highly skilled technical team. As a result of the significant progress made under the JDA, SK On and Westwater are currently negotiating terms for an offtake agreement to sell CSPG from the Kellyton Plant. Slide 11. We continue our engagement with other potential customers as well. In June, we announced the signing of an LOI with Dainen for the supply and purchase of CSPG. Dainen offers high-performance natural graphite anode materials to leading Japanese manufacturers of automotive lithium-ion batteries. We believe that this LOI with Dainen and subsequent work with them could accelerate Westwater's entrance in the Japanese automated battery market. We believe continuous engagement with potential customers is important for our Phase II expansion of the Kellyton Plant. From May through July, we have spent 36 product samples to potential customers as interest in our future production remains strong. We continue to receive positive feedback on our samples. Turning to Slide 12 for a construction update. We've been under construction for Phase I of our Kellyton Plant for over a year. And since the beginning of construction, we have had an excellent safety record bio contractors and Westwater teammates. Safety is and while continue to be our number one core value as well as the protection of the environment where we live and operate. As of the date of this call, we have completed the construction of 5 primary processing buildings; installed internal overhead cranes; completed and are operating our internal R&D Lab; and have begun installing our micronized shaping mills and other equipment in the SPG building. Subject to the receipt of additional equipment and closing on additional financing, we plan to install additional equipment later this year and are targeting to a Phase I of Kellyton Plant ready to produce an optimized annual run rate of 7,500 metric ton of CSPG by the end of 2024. Our site at Kellyton has significant expansion potential. The approximately 70 acres allows for a Phase II expansion on the current footprint. The estimated capital cost for Phase II at a pre-feasibility level is $465 million, subject to a definitive feasibility study, which we intend to begin later in the year. The Phase II expansion is expected to produce 40,500 metric tons per year of CSPG. Currently, there are approximately 15 battery manufacturing plants either under construction or planned to be built in the United States. All these battery plants want graphite that meets the domestic content requirements of the IRA. And Westwater plans to be a significant part of the graphite supply solution for these plans. Turning to Slide 14. We also hold mineral rights to approximately 42,000 acres across the Alabama graphite belt. Once in operations, the Kellyton graphite processing plant and the Coosa deposit represents the first fully vertically integrated domestic battery-grade graphite company in the U.S. We believe this will provide significant competitive advantages, given the domestic content requirements in the IRA previously mentioned. In April 2022, we completed our exploration drilling program and completed our geological model and published a technical report in the fourth quarter of 2022, which identified about 3.8 million short tons of graphite enough to supply the estimated feedstock requirements for the Kellyton graphite processing plant for over 35 years. It is worth noting that technical report was completed based on drilling approximately less than 10% of acres to which we hold mineral rights. During the second quarter, we began work on preliminary economic assessment for the Coosa deposit and expect to complete this assessment by the end of this calendar year. Before turning the call over to our Chief Financial Officer, I want to reiterate that these are exciting times at Westwater. I believe we have the team to execute this business plan, and I'm extremely proud of the Westwater team and our contractors, the dedication, flexibility and hard work of all involved has been exceptional. We remain diligent in advancing our business plan and creating long-term value for our shareholders. Now I would like to turn it over to our Chief Financial Officer, Mr. Steve Cates.
Steven Cates: Thank you, Frank, and greetings, everyone. Slide 15. Since beginning construction, cash expenditures related to Phase I have totaled approximately $107 million. And we estimate approximately $164 million of cash spend remaining, inclusive of contingency. Westwater finished the quarter with a cash balance of approximately $17.3 million and no debt. We are making significant progress towards finalizing a debt transaction to fund the balance of the estimated cost to complete Phase I. We're engaged with multiple lenders that are interested in projects related to the energy transition and battery materials. We are currently negotiating term sheets with a subset of those lenders. While the credit markets have been tight over the past year, we are encouraged by the group of lenders that are looking to invest in the energy transition and specifically, our project. We believe securing a definitive sales agreement is key to finalizing a debt transaction. Our potential lenders have been encouraged by the positive progress we've made with SK On and other potential customers. Turning to the financial summary on Slide 16. Detailed discussion of these items is included in our recently filed Form 10-Q as well as our second quarter press release. Net cash used in all operating activities in the first half of 2023 increased by approximately $3 million compared to the first half of 2022. This increase for the first 6 months is primarily due to purchases of additional feedstock, higher product development costs and higher general and administrative expenses. These increases in operating cash used were partially offset by higher interest income earned on our cash balance. Cash used in investing activities for the first half of the year totaled approximately $52 million and are related to the construction of Phase I of the Kellyton plant. Product development costs for the second quarter increased by approximately $800,000 compared to Q2 of last year. This increase relates to additional sample production for customers and ongoing work pursuant to the JDA with SK On. We expect to incur additional product development costs related to customer sample production during the remainder of 2023, as we work to put LOIs and customer contracts in place. We believe continuing to work through the qualification process with customers is important to maintain early market-mover advantages, reaching our goal of having Phase I volumes under contract prior to the Kellyton Plant commencing operations and securing the additional financing needed to complete construction. General and administrative expenses for the second quarter remained essentially flat compared to Q2 of last year due to managing our overhead costs. Lastly, net loss for the second quarter was approximately $3.6 million or $0.07 per share compared to a net loss of $3.2 million or $0.07 per share in Q2 of 2022. The increase in net loss was due primarily to the higher product development costs, partially offset by higher interest income earned during the quarter. With that, I'll turn the call back to you, operator for questions.
Operator: [Operator Instructions] Our first question comes from Michael Pierce of Gene Law Firm.
Michael Pierce: So I saw in your release that you're providing a mass sample to SK On. Can you go through that a little bit more and explain what level you have to get to in order to get to a sample of that size? My understanding would be that you've been able to meet the qualifications and specifications necessary for SK, it's just they want to see if you can do it at a larger scale now. Would that be true?
Frank Bakker: Yes, Michael. This is Frank. Yes, you're completely correct. So when I was in Korea last month, SK On was very positive about our sample, and it completely meets the specification. And we're targeting to produce a mass production sample end of this year for SK On.
Michael Pierce: You've also indicated that you're in active negotiations for a finalization of a supply agreement. Is that something that the company is anticipating being able to finalize this year? Or is that something that's going to take longer?
Frank Bakker: No. The anticipation is that we finalize that this year. Our opinion is that we are in the final stages of the negotiation. So that's where we stand at this moment.
Michael Pierce: So at this point, it's just being able to come together on all the different terms?
Frank Bakker: That's correct. Yes.
Michael Pierce: You've also stated you're going to do a release of the PEA on the Coosa deposit later this year. Is that something that's going to have a net present value based on projected graphite prices and things of that nature that we can -- shareholders can look at and project the value to the company of that deposit?
Steven Cates: Michael, this is Steve. Yes, the -- we will follow the SEC rules on reporting that analysis, but it will include an economic analysis, a cash flow estimate based upon a preliminary mine design. Then following that, we start moving more into the full pre-fees and definitive feasibility study. And we have a qualified expert that we have contracted with to help us with this, that is very familiar with our deposit as well as the rules that we need to follow.
Michael Pierce: And lastly, let's say, the company is able to complete the sales agreement with SK On or another end user, how confident are you once that sales agreement is complete, that the financing can be completed?
Steven Cates: Michael, this is Steve again. I think that's a critical milestone to reach. I think a couple of things to keep in mind. The closing of the financing has taken them longer than anticipated, mainly due to a couple of things. The rising rate environment; the debt capital markets have been tight over the past 6 to 9 months, as everybody is trying to see if the Fed actually is able to execute a soft landing or not. But more importantly, this is a new market for us here in the United States. China dominates the market. So it's taken some time to get the lenders up to speed and getting used to that. But we also think that there is definitely positive steps. There's multiple lenders that are interested in the battery materials space. And all of them are looking towards that offtake to help finalize the deal. Also, I think from Westwater's perspective, getting an offtake will bring forward either more lenders and/or more term sheets to help us negotiate the best deal possible for our investors.
Michael Pierce: Are there special funding groups that are able to provide better terms for green energy, ESG type loans versus just a regular loan for, let's say, an oil company?
Steven Cates: Yes, this is Steve again. So the group of lenders that we're engaged with and talking to, most of them have money set aside for the energy transition and specifically, battery materials. And so they're interested in the space. They're looking at the ESG component. So sometimes, depending upon the lender we're talking to, that might be on their infrastructure fund; others, it's within their energy team. It just kind of depends. They each have a different view, but they're definitely interested in this energy transition.
Michael Pierce: I appreciate it. I just -- I hope to hear a bunch of good news from you guys over the rest of the year.
Operator: [Operator Instructions] Our next question comes from Dmitry Silversteyn of Water Tower Research. Please go ahead.
Dmitry Silversteyn: A couple of questions, if I may. First of all, just looking at the SK On agreement and sort of the size of the potential selling relationship, which you will have with them. It sounded to me like it was going to basically -- or could consume most of your Phase I production. So first of all, is that a correct interpretation? And secondly, to continue to work with other battery manufacturers, do you really -- are you now looking at Phase II production as a way to meet the demand that may be coming from other battery manufacturers that you're negotiating with for anode manufacturers?
Frank Bakker: Dmitry, this is Frank. Yes, you're correct on the volume. It's the majority of the volume of our Phase I plant. And we continue to engage with other potential customers also to sell the remaining of Phase I and also make agreements or term sheets for our Phase II production.
Dmitry Silversteyn: Has there been any thought given to sort of the -- I mean, I know we haven't gotten through the Phase I construction and start-up yet. But given the strong demand, that it seems to be -- that seems to be taking place in the industry, especially with the IRA passing and a lot of interest in domestic production. Have you given any thoughts in to what the timing of Phase II may be relative to your expectations, let's say, a couple of years ago?
Frank Bakker: Yes, actually, we discussed it last week. And I think based on our design, because it's a modular design, so a lot of units of the facility are copy-paste. So probably, we can speed it up somewhat our Phase II project.
Dmitry Silversteyn: But basically, you're just working on making sure that Phase I is up and running by the end of '24 and the design specs. And then you will -- hopefully, it will be sold out by that point, and then you'll be looking at Phase II, more definitive timing of Phase II at that stage. Would that be the correct way of thinking about it?
Frank Bakker: Yes. But we -- as soon as we have the financing in place, we want to start also the feasibility study on Phase II based on the market demand for this.
Dmitry Silversteyn: And then the last question, again, related to your work on securing the financing to complete the Phase I and get into production and start Phase II considerations. You talked about speaking with lenders and the sort of some of these agreements perhaps been contingent and you're getting a sales agreement from -- a firm sales agreement in place. Have you looked at sort of kind of asset-level financing, so maybe not institutional -- I'm sorry, not financial lenders, but maybe more strategic partnership or an off-take type of agreement with the earning potential as a way to fund your operations and your capital needs?
Steven Cates: Dmitry, this is Steve. We have turned over every stone possible looking for the best terms that we can and cost of capital on financing. And so we have explored some of those avenues. Some of those avenues still remain. But what we have found, especially with kind of ABL lending, the cost is pretty high. And considering we are pre-revenue right now, the cost and the amount of debt-to-asset coverage that we would need just is not the best source of capital right now. And the lenders that we're talking to now are much more attractive on their pricing.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Frank Bakker for any closing remarks.
Frank Bakker: Thank you. I want to thank you for your interest in Westwater Resources. I think we made significant progress during the last quarter. The feedback from our customers on the quality of our CSPG samples is very positive. And based on this, we made significant progress in our engagement with our customers, and we are negotiating offtake agreements for our product from the Kellyton Plant. We installed our first equipment, and the construction is on track to produce 7,500 metric ton of CSPG by the end of 2024. I'm looking forward to speaking to you on our next call. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.